Operator: Greetings and welcome to the Vuzix Fourth Quarter and Full Year ending December 31, 2020 Financial Results and Business Update Conference Call. [Operator Instructions] As a reminder, this call is being recorded. Now, I would like to turn the call over to Ed McGregor, Director of Investor Relations at Vuzix. Mr. McGregor, you may begin.
Ed McGregor: Good afternoon, everyone and welcome to Vuzix’s fourth quarter and 2020 full year ending December 31 financial results and business update conference call. With us today are Vuzix CEO, Paul Travers and CFO, Grant Russell. Before I turn this call over to Paul, I would like to remind you that on this call, management’s prepared remarks may contain forward-looking statements, which are subject to risks and uncertainties and management may make additional forward-looking statements during the question-and-answer session. Therefore, the company claims the protection of the Safe Harbor for forward-looking statements that are contained in the Private Securities Litigation Reform Act of 1995. Actual results could differ materially from those contemplated by any forward-looking statements as a result of certain factors, including, but not limited to, general economic and business conditions, competitive factors, changes in business strategy or development plans and the ability to attract and retain qualified personnel as well as changes in legal and regulatory requirements. In addition, any projections as to the company’s future performance represent management’s estimates as of today, March 15, 2021. Vuzix assumes no obligation to update these projections in the future as market conditions change. This afternoon, the company issued a press release announcing its financial results and filed its 10-K with the SEC. So, participants in this call who may not have already done so may wish to look at those documents as the company will provide a summary of the results discussed on today’s call. Today’s call may include certain non-GAAP financial measures. When required, reconciliation to the most directly comparable financial measures calculated and presented in accordance with GAAP can be found in the company’s Form 10-K filing under the sec.gov, which is also available at www.vuzix.com. I will now turn the call over to Vuzix CEO, Paul Travers, who will give an overview of the company’s operating results and business outlook. Paul will then turn the call over to Grant Russell, Vuzix CFO, who will provide an overview of the company’s fourth quarter and full year financial results. Paul will then return to make some closing remarks, after which, we will move on to the Q&A session. Paul?
Paul Travers: Thank you, Ed. Hello, everyone and welcome to the Vuzix Q4 and full year 2020 conference call. Our final quarter of 2020 was our strongest of the year and in fact the best in our history as a smart glasses supplier. Total Q4 revenue of $4.2 million represented a comparative year-over-year quarterly increase of 117%. Our sales of both smart glasses and engineering services more than doubled in the period. Demand for Vuzix smart glasses, which I will expand more on shortly, was broad-based, both in terms of industry verticals and geographies. And we’re off to a good start in 2021 as our customer list continues to expand and average order volumes continue to increase in size. Despite 2020 being a very challenging year for many due to the global COVID-19 pandemic, Vuzix smart glasses continue to be called upon by our enterprise customers and healthcare providers to solve operational challenges caused by COVID across a variety of market verticals and use cases. I have to say, we are pleased to see our products being used in new and innovative ways across our expanding client base to assist customers in solving the complex issues associated with today’s business environment. For Vuzix, despite the disturbances caused by COVID, we delivered against multiple key operating objectives that we outlined on our Q4 ‘19 conference call one year ago. I’d like to quickly review a few of them. First, we grew the sales and order size of existing M-Series Smart Glasses as our enterprise customer base for M400 expanded in size to over 1,000 new customers, and we witnessed a continual increase in our sales volume metrics as more and more companies place multiple follow-on orders throughout the year. These factors drove a 106% gain in our smart glasses sales to $10.1 million for the year. We commenced volume production and shipments of our M4000 Smart Glasses as well as our Blade Upgraded Smart Glasses right around the beginning of the fourth quarter. And while a little later than originally hoped, the COVID supply chain issues of getting them released did not impact us by much more than a quarter. We expanded our OEM program engagements, moving from just one active program at the start of 2020 to a total of 5 in 2020, an increase, which drove a 123% gain in our engineering services sales to $1.5 million for the year. We have advanced and strengthened our IP and the development of our next-generation smart glasses technologies as we continued our push to develop thinner and higher-performing Waveguides, and we entered into a joint manufacturing and supply agreement with Jade Bird Display for microLED-based display engines and Waveguide products. Achievement of these objectives has put us in a stronger position in terms of ongoing product diversity, market competitiveness and technological development as well as spurred broader investor awareness and interest in Vuzix and which we feel has contributed to the substantial rise in our stock price since mid-December 2020. This price appreciation, in turn, has resulted in cash warrant exercises of existing warrants that have totaled more than $48.5 million since mid-December to the date of this report. These warrant exercise proceeds have allowed us to achieve another important objective of management, which was the strengthening of our balance sheet. On a pro forma basis and excluding our 2021 year-to-date operational cash burn, our cash and equivalents position presently stands at approximately $60.4 million. Slide 6 depicts the quarterly revenue growth of our smart glasses, our Q4 smart glasses sales of $3.7 million what used to take roughly three quarters to produce not too long ago and was achieved without having any single large customer order in the period. We have fields of customer seeds planted and a growing number are starting to yield orders ranging from dozens to repeat orders in the hundreds of units. Finally, with the world coming back to work, we’re fielding inbound from some customers that are looking to scale rollouts that are in the many thousands of units. Our existing enterprise customer base has a broad global footprint and includes some of the largest companies in the world in their respective industries ranging from logistics and distribution to medical technology and biomedical, retail, manufacturing, clean energy and mining. Slide 7 depicts just a partial list of customers’ engagements since the start of Q4 2020. We have so many we would like to share here, but many companies, particularly public U.S. firms, are not ready to publicize their use of our smart glasses just yet. And while we believe the enterprise market still remains in its infancy on adoption, our total addressable market to support enterprise customers and telemedicine with AR smart glasses users could represent hundreds of thousands, possibly millions of units, on an annual basis in due course for the entire enterprise AR smart glasses market. Let me share a few customers and use cases. In manufacturing, we have companies like Clorox that have deployed Vuzix M400 Smart Glasses across their operations to remotely support manufacturing operations and perform quarterly audits, which is resulting in substantial dollar savings for Clorox on both travel costs and personal travel times, a theme that is critical dealing with COVID and is proving broader and more important for cost savings, along with real positive greenhouse gas reductions. In retail, we are providing solutions that will help drive significant savings in human capital costs. In December, we announced an initial deployment order with one of the largest U.S.-based general merchandising retailers in the world to assist with fulfillment training, and this company has recently purchased additional glasses from Vuzix. In addition to this customer, we are working closely with multiple software partners to support the rollout of in-store customer order picking, both domestically and abroad, with many customers, some amongst the largest retailers in the world. We keep receiving indications that these customers will make significantly larger deployments that should occur starting this year. Rio Tinto, one of the largest metal and mining companies in the world, recently highlighted the introduction of Vuzix smart glasses in their 2020 annual report to conduct visual inspections of tailing facilities and equipment at their underground project in Mongolia. Rio Tinto turned to Vuzix smart glasses to enable technical experts from all over the world to work with the local teams on the project site. This is one of several mining and construction opportunities we have announced over the past few months. In warehousing and logistics, we are seeing the deployment of our glasses increase in frequency and size to assist with warehouse order picking. Some of our carrier freight-forwarding customers amongst the first early experimenters and supporters of smart glasses have been very happy with the Vuzix M400 and are expanding their orders for it with further revaluations of our Waveguide-based M4000 solutions also taking place. We have also made good progress recently with another one of the largest third-party logistics companies in the world, which now has dozens of our M400s being used in their fulfillment centers in Europe to also assist with order picking. In 2020, we witnessed the broader adoption of smart glasses due to COVID operating restrictions throughout the healthcare industry, which has quickly become an important top line growth market for Vuzix. We began last year with a minimal footprint within healthcare and ended the year with a global presence as many of our independent software vendors have turned to Vuzix M400 Smart Glasses to bundle with their medical applications. Within the medical device market, one of the customers we are working with is Medtronic, which is already using Vuzix smart glasses to support technicians and surgeons. To-date, this account continues to steadily scale globally doing many use cases, in particular, numerous operations have been performed and shared publicly by Medtronic on LinkedIn. Overall, there were hundreds of surgeries performed during 2020 and to date using our glasses, including, but not limited to knee replacement surgeries with Pixee Medical and Medacta, gastrointestinal surgery, heart surgery, spine surgery, with Medtronic and reconstructive plastic surgery with organizations like Ohana One. There were thousands of remote calls made to provide a virtual presence within hospitals in senior care facilities that were video broadcast securely via Vuzix M400 and M4000 Smart Glasses to provide virtual training, healthcare for patients in the ICU and operating room and to perform virtual patient rounds. Vuzix smart glasses were incorporated into numerous clinical studies that provided favorable clinical results. With the unprecedented and virtual view that our smart glasses provide, they have the potential to change the way many healthcare workers collaborate and operate that range from doctor patient interactions to procedures that were previously difficult to witness during conventional shadowing, if at all. In biomedical and enabling big pharma with AR smart glasses, we have a growing number of customer engagements with many of the largest players around the world and hundreds of devices already in the field and being used to support a variety of initiatives and solve problems that exist within their labs, manufacturing sites and distribution centers. I would like to now provide a quick update on the developments in the wireless operator vertical and with Verizon, in particular, as they remain one of our strategically important partners. Yes, it is taking more time than we would have liked due to COVID, but we are continuing to work with them to address key market verticals that can leverage their 5G network alongside Vuzix smart glasses to drive increased efficiencies and capabilities, and these efforts are starting to bear fruit. The EMS-bundled product that is being co-developed by Verizon and their cohort partners to put together a world-class turnkey solution centered around Verizon’s 5G network continues to progress well. Due to COVID-19, project implementation has taken a bit longer to coordinate than planned, but we’re very excited and now expect to bring this situational awareness technology to public safety and first responders towards the middle part of 2021. In February, Verizon hosted a well-attended virtual presentation to the U.S. Department of Defense as well as other governmental agencies to discuss how 5G can help securely shape missions along with defense-focused use cases. Vuzix was prominently featured as an augmented reality workforce solution, along with an accompanying video interview. The governmental and first responder verticals could certainly represent a significant opportunity for Vuzix smart glasses over time. Verizon’s acquisition of BlueJeans, a global remote collaboration platform is providing Vuzix with an opportunity to work even more strategically with Verizon to leverage our best-in-class Vuzix M400 and M4000 Smart Glasses alongside their BlueJeans offering for enterprise customers. We expect to share more here in the coming months. Turning to the Far East, we announced in January that KDDI, one of Asia’s largest telecommunications providers, partnered with Vuzix to have their numerous overseas subsidiaries, supply Vuzix smart glasses to their customers across the globe to support their COVID-19 business continuity planning efforts and increase overall productivity. KDDI has also begun to deploy Vuzix smart glasses internally to support maintenance in their own telecom facilities. Beyond these firms, we continue to engage with numerous wireless carriers in North America and around the globe, centered around 5G, along with smart glasses for enterprise and consumers. All are excited about our next-generation smart glasses solutions and the possibilities they can provide. Ultimately, 5G network offerings with their low latency and powerful edge computing capabilities should allow us to offer AR smart glasses that are truly comfortable and stylish to wear in the coming future. Vuzix currently offers what we and many of our partners and customers believe to be the strongest product lineup in the AR smart glasses industry, our M400, which accounted for the majority of our smart glasses sales in 2020, and has clearly become the workhorse for a steadily growing list of enterprise customers. The M400, which can operate completely hands-free with advanced voice controls with its image stabilized and auto focusing 4K capable camera captures and broadcast industry-leading HD streaming video for field service workers. It’s crystal clear OLED display-enhanced optics delivers superb contrast and precision imagery with crisp, vivid colors to its users. In 2020, our ongoing product development efforts yielded 2 new Vuzix smart glasses products that were introduced in late September 2020. The M4000 and the Vuzix Blade Upgraded. The optically see-through Vuzix M4000 Smart Glasses, which uses our proprietary optics, is a sister product to the successful Vuzix M400 Smart Glasses with enhanced display resolution and an increased field of view from 16 degrees to 28, is currently being qualified and adopted by a number of key customers. Being see-through, M4000 allows our users to simultaneously view the real-world with virtual content unobtrusively being overlaid on top of it for improved situational awareness, more accurate workflows and, of course, all hands free. The M4000 and the M400 models provide our customers with two powerful enterprise workhorse products to choose from to meet different usage requirements, whether for field service, manufacturing and logistics or healthcare. The Vuzix Blade Upgraded, which is a new and improved version of the original Vuzix Blade, with see-through Waveguide optics, is now equipped with an improved auto focused camera, built-in stereo audio and full UV protection lenses with Z87.1 safety certifications, 3 key functionalities requested by many enterprise users of the original Blade. We have recently received several commercial volume orders in the healthcare and field service verticals and expect the pace of deployments to increase as the Blade Upgraded gets qualified with additional customers. Broad platform support, as depicted in the lower half of Slide 9, makes our smart glasses a valued productivity tool to a wide range of enterprise customers. During the first half of 2020, we added our smart glasses connector support for several popular video conferencing platforms, including Zoom and Zoom for Healthcare, Skype for Business and Cisco Webex, Teams, which helped accelerate adoption of our smart glasses in enterprise. Earlier this month, we added Microsoft Teams to the list for our M400 and M4000 Smart Glasses. Microsoft Teams is a popular business communications platform, which was a much asked for platform to be supported by our customers. Just last week, we held our first virtual sales demo of the Microsoft Teams app running our smart glasses, and we had more than 500 attendees join the event. Inbound interest has been phenomenal, and deployments are already underway. Finally, soon we will have support for Verizon’s BlueJeans at which point our smart glasses will support practically all the major business communication platforms on the market. It is important to note that most of these connector applications currently generate recurring revenue for Vuzix. We also resell several of our partner applications, which again generate recurring revenues. I would like to add, Vuzix is starting to place a focus on vertical software applications around our smart glasses in markets that are not currently being addressed. These applications will be built on a SaaS-based business model that should make our smart glasses even more sticky for our customers and result in recurring revenue streams for Vuzix. We expect that for every hardware sale that includes one of our vertical SaaS solutions, we would see an even more significant recurring revenue stream from the application itself. We will be sharing more as we bring these solutions to market. OEM and related engineering services business gained further momentum in 2020 as we expanded in terms of the number of engaged customers as well as their progression towards eventual volume production programs with them. The multiyear revenue potential associated with volume production for these programs related to aerospace and defense, healthcare and Waveguide-based display engines remains a significant opportunity for Vuzix. Slide 10 lays out the timelines and progress points for our five announced OEM engagements. As you can clearly see, we have successfully completed phased work for multiple customers over the past several months. For these customers, we generally anticipate either further NREs for subsequent product refinements or a move to an eventual volume production program. In January 2021, we announced that we had entered into a joint manufacturing and supply agreement with Jade Bird Display. As per the agreement, Jade Bird Display will provide microLED displays and Vuzix will provide newly developed proprietary Waveguides and display engine optics to work with these new types of microdisplays. The complete solutions and components will be marketed and sold by both Vuzix and Jade Bird Display to their respective customers and regions. Further, both parties have agreed to supply each other on a priority allocation basis subject to limitations to ensure Vuzix is able to satisfy its own branded product requirements. This will be a key relationship for Vuzix as we develop and roll out our next-generation smart glasses. We continue to grow our intellectual property portfolio, which now consists of 184 patents and patents pending up 34 from 1 year ago and more than doubled that of 3 years ago. The development of our next-generation microLED-based smart glasses continues to progress well. Since first announcing this product last year, we have received an ongoing stream of inquiries from customers, partners and investors, too, as you might imagine. Regarding its exact specs and timing, although I can’t offer much more in terms of details just yet for proprietary reasons, I can say that this next-generation tech remains slated for limited developer introductions and testing in late 2021. Vuzix currently has 5 new AR smart glasses products in the works, along with several new R&D activities around optics and Waveguides. On the products front, as I just mentioned, we are progressing clearly on our previously announced next-generation smart classes, build using microLED display technologies, both were CES 2021 award winners. These revolutionary new smart glasses include powerful new microprocessors and features, including optional LTE cellular capabilities. We are working with our microLED suppliers to move up to full HD color systems in 2022. And additionally, we are proceeding well under development work on our next-generation of M-Series glasses and an extension to one of our existing models. These new models, which should hopefully be ready for introduction in less than a year, will offer significantly improved display and optical performance, both in occluded as well as see-through monocular smart glasses. Please note we will be leveraging these solutions to share as much of the same core electronics and software platforms as possible. This will lower our total development costs as well as get these products out to market sooner. We can hardly wait as they will broaden our AR smart glasses product portfolio and represent the feedback for improvements from our thousands of existing customers. And on the optics front, we’re investing in ongoing research and development for further improvements in our Waveguides performance physical structure, chemistry, coatings, use of polymers for lightness and cost reductions as well as manufacturing process enhancements to better handle expected increased production requirements. Vuzix now has the capital resources to better execute, especially on the R&D and products front, and we intend to invest it wisely. I would like to now pass the call over to Grant, so he can review some aspects of our fourth quarter and annual 2020 financial results as well as some of our 2021 spending.
Grant Russell: Thank you, Paul. As Ed mentioned, the 10-K we filed this afternoon with the SEC offers a detailed explanation of our annual financials. So I am just going to provide you with a bit of color on some of the full year as well as quarterly numbers. For the full year ended December 31, 2020, Vuzix reported $11.6 million in total revenues as compared to $6.7 million for the prior year, an increase of 74% year-over-year. The revenue increase was due to increased sales of our M-Series Smart Glasses, primarily the M400 and higher engineering services revenues. For the full year, total sales of our M-Series Smart Glasses increased by 112%, while Blade revenues decreased by 14% in 2020 versus 2019, largely due to the lower average selling price of the Blade Upgraded model introduced last September versus the prior year. Sales of engineering services for the full year increased 123% to $1.5 million from $0.7 million in 2019. We did not realize any revenue of our OEM products in 2020 versus $1 million realized in 2019. For the 3 months ended December 31, 2020, Vuzix reported $4.2 million in total revenues versus $2 million in the prior year’s fourth quarter. Sales of our M-Series Smart Glasses rose by 155% quarter-over-quarter, and sales of our Blade increased by 6% in Q4 2020 versus 2019. In total, product sales for the quarter ending December 31, 2020, rose 113% as compared to the same period in 2019. Engineering services, thanks to new programs for the 2020 fourth quarter, was up 145% versus the comparative 2019 quarter. For the full year ended December 31, 2020, there was an overall gross profit of $3.2 million before $1.3 million in inventory obsolescence provisions that were recorded during the 2020 year. The net gross margin for 2020 was $1.9 million as compared to a gross loss of $4.4 million for 2019 we concluded reserve provisions of $4.6 million. On a product cost of sales basis only and before inventory obsolescence provisions, direct product costs were 54% of sales in 2020 as compared to 64% of product sales in 2019. The improvement was primarily driven by higher margins earned on the M400 in 2020 versus the M300 series in the same period in 2019, a period when the M400 was not yet available for sale until the fourth quarter. Product margins were also positively impacted by sales of some older M-Series products during 2020 that were fully reserved for obsolescence in prior periods and then continued to sell at lower price points on a limited basis. Manufacturing overhead costs, much of which is relatively fixed, decreased to 16% of sales for the year ended December 31, 2020, as compared to 29% in 2019, the direct result of increased sales revenue to absorb these costs. Research and development expenses for 2020 declined 15% to $7.6 million as compared to $8.9 million for the 2019 period. The reduction was largely driven by a decrease in external consulting fees related to our M400 Smart Glasses development work in 2019 and Blade software development, which were both completed in 2019. Sales and marketing costs for all of 2020 decreased 4% to $4 million from $4.2 million in 2019, with the decline primarily attributable to decreases in trade show expenses, external consulting fees paid to terminated foreign sales staff in 2019 and reduced travel expenses due to 2020 COVID conditions. General and administrative expenses for the 2020 year increased 5% to $6.9 million as compared to $6.6 million for the 2019 period. The increase was primarily due to higher non-cash stock-based compensation expenses resulting from the voluntary salary reduction program that the company implemented in May 2020, partially offset by a reduction in cash salaries paid and decreased legal fees. Our overall expense control efforts in 2020 were fruitful even with our large revenue increases as we realized a collective year-over-year decline in 2020 of 5% in our total operating expenses. That makes 2 years in a row our operating expenses have successfully decreased, since 2018. For the full year ended December 31, 2020, the net loss after the revision for accrued preferred dividends was $20 million or $0.53 per share as compared to $28.4 million or a loss of $0.94 per share for the full year of 2019. Now for some balance sheet highlights, our cash position as of December 31, 2020, was $36.1 million, and we had a net working capital position of $42.1 million. Our cash position was bolstered by the exercise of roughly 2.9 million warrants in the fourth quarter of 2020 with generated cash proceeds of approximately $14.1 million. Subsequent to December 31, 2020, 7.2 million additional warrants representing almost all of our remaining outstanding warrants were cash exercised, bringing in additional proceeds of approximately $34.4 million. After providing for the $10 million accrued dividend settlement we paid Intel this January upon the conversion of their Series A preferred stock into common shares, we are effectively entering 2021 with $60.4 million of pro forma cash before our expected Q1 2021 cash operating losses to-date. Please note the shares of Series A preferred stock have been retired and cannot be reissued. Cash used in operations, excluding changes in our working capital declined to $12.5 million for the year ended December 31, 2020, as compared to $17.9 million for 2019. The cash used for investing activities in 2020 was $1.5 million, down from $3.2 million in the prior year. The drop primarily due to our planned reduced spending on fixed assets as compared to 2019 year spending of $1.9 million for the purchase of manufacturing equipment, primarily related to new Waveguide manufacturing, product mold tooling and computer equipment. Investments in patents and trademarks rose to $0.5 million in 2020 versus $0.25 million in 2019. Looking forward to 2021, we intend to at least double our levels of investing activities for our 2021 fiscal year as compared to the actuals in 2020, primarily focused on new product development and IP as well as increased R&D spending by at least 50% over 2020 levels. Further, we intend to incur additional spending on sales and marketing activities, particularly overseas, where we see many opportunities. Vuzix now has the capital resources to smartly invest and grow with future business, and with the expected planned revenue growth in 2021 and beyond, we do not see substantial risk in investing more for such growth while expanding our IP and competitive position. Put simply, we intend to judicially deploy and leverage our increased capital resources for the benefit of our stockholders, customers and staff. With that, I would like to turn the call back over to Paul.
Paul Travers: Thanks, Grant. In summary, COVID-19 is expected to become less of an interruption to business going forward for many market verticals that were put on hold over the last year. For Vuzix, this means that market verticals, including warehousing and logistics, in-store picking and certain areas of manufacturing are already coming back online in 2021. At the same time, ongoing demand for our products across enterprise remote support and telemedicine usage has not slowed down and is here to stay as the many benefits of sending pair of glasses instead of a person have been clearly demonstrated to a growing population around the world. On the capital front, due to the recent conversion of nearly 99% of our previously outstanding warrants, Vuzix has its strongest balance sheet in the company’s history to support operations in our efforts to accelerate revenue growth and R&D, including new product development. Finally, Vuzix is well positioned to achieve another year of solid year-over-year revenue growth on our first quarter and throughout 2021. I would like to now turn the call back over to the operator for Q&A. Operator?
Operator: [Operator Instructions] Our first question comes from Matt VanVliet with BTIG. Please state your question.
Matt VanVliet: Hi, guys. Thanks for taking the question. Nice job on the quarter. I guess from a high level, maybe just walk us through kind of the demand at the top of the funnel that you are seeing now as you walk into 2021, couple of months in here. I guess, what areas or verticals of the market do you continue to see the most strength in? And then also between the M400 and the M4000, maybe just walk us through kind of why demand for one product versus the other comes from some customers and maybe the best use cases for each of those that you are seeing the most traction on right now?
Paul Travers: Yes. Hey, Matt. Sure. The highest demand product that we have right now is the M400 by far. And the reason why is it’s been out there the longest and it’s the one that has most of the software and most of the certifications and gone through the gauntlet as it were as companies approve and then finally start to deploy the product. The whole medical space is just really not slowing down for Vuzix right now. I mean, from the knee surgeries that I’m sure folks have heard about with guys like Pixee, our relationship with Medtronic that we wrapped out up earlier. It’s an expanding piece of our business that I think still COVID is affecting. But there is so many things that are happening now because these guys are just using it, and it’s so helpful for teaching, training. There is just a ton of them. It’s a recurring business, and it keeps growing, which is nice. On the field service front and remote support and remote training, a lot of that was driven originally by COVID, but it continues for Vuzix. There are companies that are reordering and reordering now that are starting to expand. They are doing it more for onboarding, but it works so well. Again, we’re not seeing it slow down. So M400, it’s going to be the flagship for us here in the first quarter. I’m sure of that. The M4000, it’s a new kind of device, right? I mean, you put it on – even though most of it is the same, the optical system is really cool. In that when you open both eyes, you’re seeing the real world. And then when you put virtual information up, it gets put on top of the real world. So you might imagine when you’re doing things like remote support, instead of running the camera feed in the glasses into the video screen, you don’t have to do that anymore. You could just put a little plus up so you can know what you’re targeting, and people can see that on the other end. So that requires some changes in the way people do some of their applications and stuff. So it’s going to take a little bit of time for those kinds of upgrades and improvements to happen. I would also say one of the biggest places where that optical see-through is important in warehouse picking and the likes because you’re now looking in a bin and there is a number on top of the bin, and you just can’t get it wrong. And so the warehousing side of our business, we’re expecting M4000s to take a nice piece of business. And that’s all just starting to come back on for Vuzix, which is exciting to see, quite frankly, this time last year, almost every program we had that was related to warehouse picking, whether it was in-store picking or just guys trying to move products through overnight services and stuff, all of it kind of went to its knees. But with the world coming back, I think there is concerns about Amazon winning the war against brick-and-mortars, we see that side of our business picking up definitely through this year. And – sorry, go ahead, Matt.
Matt VanVliet: Yes. Sorry, helpful. And then I guess on the OEM side, obviously, the development with Jade Bird is, I think, a good long-term driver there. But curious if you have any updates on the other four projects you are working on. Have you reached any additional milestones? And any help in terms of either magnitude or timing of when those might have additional impacts on 2021 results?
Paul Travers: We expect follow-on, like next-generation efforts. Next-gen is not the right choice of words there, Phase 2 and 3s – if you look at the little Gantt chart we put up, you can see things are done in phases with these projects. And we delivered on a lot of them here towards the end of last year and into our first quarter. And so I think what you’ll see is a continuation of the engineering revenue side of it. And we’re hopeful here, shortly, at least within this year, we’ll start to see some step that points towards production programs. It’s really hard to nail that stuff down now, Matt, because it’s dependent not just on what Vuzix does. You have other companies that – they are in the mix, they have got their own engines and systems they are building them into that all have to come off the ground, too. So...
Matt VanVliet: Alright, great. I will hop back in queue.
Operator: Our next question comes from Christian Schwab with Craig-Hallum Capital Group. Please go ahead with your question.
Christian Schwab: Yes. Thank you. Grant, can you elaborate on – I think I must have missed it or maybe you didn’t say it. What’s your planned revenue growth for ‘21 was – that was part of the justification for the increased investment in research and development and marketing opportunities in Asia, etcetera. Can you give us an idea of what that planned revenue growth is?
Grant Russell: I didn’t actually quote any numbers. And historically, we don’t announce our revenue plans. I mean, we’re continuing to grow. We’ve got new products, some of which we didn’t have last year. And we’re seeing customer reorders and all the seeds that Paul said we planted are about to sprout. So I mean we don’t – the business is still in its rapid growth stages. And it can still be a little rough by quarter, so I’d prefer not to come up with any estimates, but clearly, we plan on growth.
Christian Schwab: Can I assume – Paul and Grant, I assume that there is operating leverage in the bottle, so your growth rate is better than the increase in your operating expenses?
Grant Russell: Absolutely. Absolutely.
Christian Schwab: Okay, great. And then for you, Paul, just a further elaboration, if I could, on Matt’s question earlier, instead of looking at whether it’s the M400 or the M4000 product line, the type of strong growth rates that we’re just talking about and referring to in the previous question. Can you give us the – either by customer opportunity sets, what are the top two or three things? Is it more back-end loaded and perhaps something taking off with Verizon? Could it be some of the previous defense contractor OEM developments that we’ve talked about in the past that come to fruition? Or is it an expansion of opportunities with 1,000 new customers that we had in the M400. I guess it just isn’t clear what we should be monitoring and possibly keeping a close eye on. If you could help there, that would be great?
Paul Travers: It’s such an interesting thing about where Vuzix’s business right now is Christian it’s really broad-based. And the cool thing is, all the stuff that we talked about going into Q1 last year that disappeared, much of it just seems to be coming back on board. I think you’re going to see some of the old stuff finally kick in. I think you’re going to see continued growth of the M400 and these remote support and medical applications. And I think you will see some select partners start to deploy in a much bigger way as the year goes – it goes through. I mean I can’t say very much about Q1. I mean we’ve already mentioned a little bit about the fact that it looks like it’s going to be a nice quarter. But I would tell you, it’s typically one of the slowest quarters Vuzix ever has, and that’s not at all the case for this year. I know that’s expletive poor guidance. I apologize for that. It’s – we’d like to get it right. And it’s as Grant said, things are lumpy. It’s just broad-based with – I believe you are going to see some of our larger partners start to buy in a bigger way.
Christian Schwab: Okay, great. That’s very helpful. No other questions. Thank you.
Operator: Our next question comes from Jim McIlree with Bradley Woods. Please state your question.
Jim McIlree: Yes. Thank you, guys.
Paul Travers: Hey, Jim.
Jim McIlree: Grant, in your commentary, you talked about doubling the level of investment activity. I’m hoping you can clarify that. Are you talking about R&D and capital spending? Are you just talking about...
Grant Russell: That was mainly on capital spending.
Jim McIlree: Okay.
Grant Russell: In 2019, we’re like a little over $3 million. Last year, we went down a fair bit. So we’d be looking at, clearly more than a double in – for 2021. So trying to indicate that we’re going to increase our spending levels, and that’s related to all the new products we got coming and further investments in manufacturing and R&D. So it’s going to more than double. So it’s not going to be – we’re not talking $20 million, $40 million, $50 million. It’s modest. We’re still talking single millions.
Jim McIlree: Understood. And the sales and marketing increase that you’re looking for, is that similar to the R&D increase of about 50% or is it...
Grant Russell: I think it will be less than that. I mean we see some market areas, particularly in Asia, that we think we could better address and even in the South America, Latin America. So we want to go there. We got a pretty good team in Japan, and we want to make some infill in Europe. So I would see a modest increase. Offsetting that, I don’t think there is going to be as many big trade shows still in 2021. So I think the increase will be under 50% year-over-year.
Jim McIlree: Right. Okay. And then...
Paul Travers: I’m sorry, Jim, just on that trade show comment, I tell you, man – virtual – our stuff is all about virtual. And it is so much more efficient to sell our products through virtual meetings and virtual everything. It just works so well compared to some of the trade shows that we go to where you end up being the circus, where everybody just all line up and they play with it, but it doesn’t necessarily always turn to business. The virtual side of what we’re doing has been very, very effective.
Jim McIlree: Yes, I agree. Great. It seems that COVID is going to have a long-term positive impact on your business in that your customers are going to change the way they do business. But I guess I worry that in the short-term as the pandemic recedes, there might be a snap back to prior business practices. I’m just wondering if you’re seeing that or concerned about it. And does that – is that one of the reasons you’re talking about or referring to lumpy business?
Paul Travers: No. Yes and no. It’s not really related to the COVID thing. Although nobody really knows 100% what’s going to happen. I will just tell you, though, I mean, I’m looking at what we do for a baseline business now in our baseline, and we could factor this in, and I could feel really comfortable where I know the bottom end, we – just the odds of us not hitting the numbers are impossible, it seems to me, our baseline has gone up by a factor of 3 to 4 over 2 years ago. That baseline is pretty darn consistent. It’s happening across the board, and it’s starting to be repeat customers. And it’s – with guys that – they are not talking about, okay, COVID’s over, let’s dismantle all this stuff. It’s a new way of people doing business.
Jim McIlree: Got it. And so when we look at the quarterly revenue progression this year, is it reasonable to expect that Q1 is better than Q4, Q2 is better than Q1, etcetera, throughout the year?
Paul Travers: We anticipate that things should grow through the year. I can’t say that we wouldn’t necessarily, might have one that – because of the lumpy nature of an order that might come in or slip or get – brought in earlier and shift things a little bit, but generally speaking, you should see Vuzix nicely growing through the year.
Jim McIlree: Got it. Thank you. And just my last one, if you can just comment on anything you’re hearing or any thoughts that you might have on your position in the industry versus whatever Facebook and Apple are rumored to have now or in the future?
Paul Travers: It’s really hard to know exactly what those guys are doing. I mean, I look at some of the things Facebook is working on right now. And I know they got a lot of money, they are throwing at it. But and – they are not close to what Vuzix is doing. We – over the years, Jim, we’ve built the big heavy, crazy stuff. And we know that, that doesn’t sell and it doesn’t sell at least in enterprise in the markets that we’re going after. I think guys like Facebook are trying to hit every average Joe on the planet. And from what I can tell, the products that they are making are – don’t even have displays in them, quite frankly, and they look odd as hell. And because they are trying to put all this other technology in it at the same time as opposed to – quite frankly, they are failing at it. I mean they don’t even have hardly audio in the darn things. Vuzix has a different approach to the problem we’re making systems and solutions that solve problems. And these microLED displays that we’re working on, they are pretty game-changing if you have the Waveguide optics that Vuzix has to put with them. And so that’s allowing us to make these little tiny engines. You might have seen the beautiful video that we put out that shows how small that little micro engine is the size of a pencil eraser. You put these two things together, and then we can add to the tech that we’ve already got an easy step forward to make really cool looking glasses. When it comes to Apple, I mean, I really think their first products are not going to be augmented reality, really cool looking pair of glasses. They are going to be more going after the VR/mixed reality marketplaces for gaming and stuff like that. And they are probably going to be high end and expensive to start with. I mean, in fact, that’s most of what you hear. So their AR glasses, the pair that you would see some of the real cool videos that everybody thinks Apple’s coming out with next week, that’s not happening next week. Those guys are out multiple years, from what I can tell, before they’ll come out with something that has the look and feel that – you think the mass market would want and that could carry the Apple brand. So I think Vuzix is in a good spot. I will say, our focus is enterprise. We’re going after markets that are worth billions of dollars solving problems where people go back to work. So we’re not in a big race to be Apple to the market. I think there is plenty of companies that are going to want to work with Vuzix, so that they can be in those markets and Vuzix would supply to them. That’s part of what our relationship with Jade Bird Display is about. So – and I feel very comfortable and confident in our enterprise play. I think we’re ahead of almost everybody in the enterprise space, delivering the kinds of solutions that could be used, let’s say, for an 8-hour operation or all day on a job site. And I’m not concerned about the consumer side because that’s not our space.
Jim McIlree: Alright. Very good. Thanks a lot. Appreciate all the answers and congratulations with all the progress and good luck with everything going forward.
Paul Travers: Thank you.
Operator: Our next question comes from Jack Vander Aarde with Maxim Group. Please state your question.
Jack Vander Aarde: Great. Hey, guys. Congrats on the quarter and all the latest positive developments. So just a few questions for me, Paul, let me start with the question for you, just as it relates to the OEM engagements. You had five pretty solid engagements here. The one I want to touch on is the one I touched on, I think, last quarter, and that’s the one that’s made through all four phases in negotiating the high-volume production and the pricing. Just wondering, is there an update – a specific update on that? And are you able to, I don’t know, pin down when you think that might actually translate into revenue?
Paul Travers: I wish I could do that for you. It’s with a defense partner, as everybody knows, it just takes time for them to get through all the gauntlets that they got to get through, too. We’re hopeful that 2021 starts to bring some forward momentum there that people will be able to see. But – sorry, Jack, I just can’t offer more than that right now. It’s – they are sensitive negotiations that go on between companies on these kinds of supply agreements. And there is phase gates and stuff that they are even going through inside their own organization. So I can only say it continues to move the ball forward.
Jack Vander Aarde: Okay. No, that’s fair enough. And then maybe could you just help then from an illustrative kind of hypothetical perspective then, just as it relates to all five of these engagements, you have a – not a one by one and allocate what you think each revenue opportunity could be from each one. But just in general, maybe if you could paint a picture of the range of revenue in a given year from each of these? Like what would be the average or is it just too early on paper to tell?
Paul Travers: The range from – when it finally got there, right, you could see a range from 2,000 to 5,000 pieces, all the way up to 60,000 to 100,000 pieces based upon what it is. And some of them are medical, some of them are state up defense, some of them are – the aviation industry. And the kind of price points, some of them are like $2,000 to $5,000, some of them are full up systems that are probably going to be $20,000 systems.
Jack Vander Aarde: Okay, got it. That’s very helpful to understand then. Okay. And then maybe just a question for Grant on gross margin, just can you help me understand the fourth quarter product margin. I think it kind of ticked down to 7%, if I’m doing this correctly, which would be down sequentially despite the increased product revenue. Maybe it’s noise, but just trying to understand why that was?
Grant Russellb: Well, end of – a year or a quarter, we also do deep scrubbing of our inventory obsolescence provisions and tighter considerations, what our plans are for 2021. So there are some additional adjustments that often sometimes hit our Q4 results regarding obsolescence provisions. But other than that, I mean, it’s – I don’t think it really dramatically changed. I mean our quarterly numbers are not audited, right? So it’s the annual total that we would focus on. And the gross profit, I mean, from a product standpoint, was good through that period. It’s just there is some other items that get flushed out.
Jack Vander Aarde: The gross margins, Grant, on the products itself was upward to 28%, right? Did I get that right?
Grant Russell: They are even higher than that before overheads and other adjustments, we write off minimum royalties. We have a warranty adjustment over the end of every quarter. There is all these things that impact the total cost for the gross profit. But when you strip it out and just look at product gross margins against what we sell them for, there was no variance negatively in Q4.
Jack Vander Aarde: Right. Okay. No, that’s helpful. And then I guess, just – is there a certain magic revenue number you could – product revenue number that you’d have to hit until we start seeing that product gross margin actually reflect that actual 28% or whatever the unit margin is? I mean, was that to be $7 million plus of revenue per quarter? Is there a number?
Grant Russell: By products, and I think it’s around for 46% currently. We have to sell enough that all those other costs that are listed out would be – would get fully amortized. And of course, you got to gross it up a little bit. I mean, our long-term goal that we continue to repeat each year is to get to a blended rate of 40%. And that’s going to require a doubling plus in sales to achieve that. But then you got the impact of if the business grows, there might be some increase in manufacturing overhead costs. We might need a little more plant in other space. And additional equipment we have for manufacturing, that increases depreciation charges. But I mean our goal still is to try to get as close as possible to 40% long-term.
Paul Travers: And product gross margins in the fourth quarter actually were pretty good.
Jack Vander Aarde: Got it. Okay, understood.
Paul Travers: Maybe regroup on the 7% because I’m not sure where that came from. It’s a much bigger number than that.
Jack Vander Aarde: Sure. No issues there, sounds good guys. That’s it for me and I wish you the best. Thanks. 
Paul Travers: Thanks, Jack.
Operator: Our next question comes from Steve Weiss [ph]. Please go ahead.
Unidentified Analyst: Hey, Paul, Grant congrats on a good quarter and strong growth. A couple of questions for you. Going back to the customer side of the business, in terms of – you mentioned over 1,000 customers, just focusing on the larger customers because I realize it’s impossible for you to stay on top of all of them, what would you say is the incidence of repeat business or larger ordering from the big enterprise customers that they have gotten their initial shipment whether it’s the 400s or the other products?
Paul Travers: I can answer part of that, and then Grant might want to chime in, too. It’s 1,000 new customers around the M400. We actually have more than 1,000 customers of Vuzix that are using our products. We even still sell a fair number of M300XLs, quite frankly. In the Blade, we mentioned it, but the Blade has been picking up here. We’ve got some big pharma guys that like that look and feel and the comfort that it gives for a guy that might be in the lab working all day long. So – and I can give you – I’d love to give you hard numbers, Steve, but it’s hard to do that without giving kind of inside stuff that we don’t share with everybody. But we have multiple...
Unidentified Analyst: I am just interested directionally. What the recurring and building business levels are [indiscernible] key customers?
Paul Travers: Yes. When we first got started with the M400, if you sold 3 to 5 of them to any given account, that was pretty good. And now we have certain accounts now that are like, 40s, 50s, hundreds at a time kind of things. And the number of those just keeps increasing.
Grant Russell: I mean, for instance, Paul mentioned Medtronic buying, I mean they are now deploying our glasses around the globe. It’s still on a pilot basis, and they keep saying they are going to expand that greater. But each month, we get several new countries come on board and try it. And there is some that are really starting to rock and roll and others that are coming a little slower. So they are all learning the capabilities of what the product can do, how to best use it and then it just kind of snowballs from there. So it’s – some people move faster than others, but it’s – we’re seeing just nice, continued upheld growth.
Paul Travers: And the returns – you might imagine if somebody didn’t like it, we have return policies that allow people to return these things. It’s practically nonexistent for the M400. People get them, they like them and they come back and buy more.
Unidentified Analyst: Got it. And just a follow-up question, again, triangulate to what you typically don’t give, which is revenue guidance, if you looked at your business, and I know you don’t, on a book-to-bill basis, would you say the trajectory on that book-to-bill basis is higher at this point in the year than it was in prior years at the same point or about the same?
Paul Travers: Our first quarter...
Grant Russell: I’d say it’s a little higher. Paul.
Paul Travers: Yes. We – I would agree, Grant. And in fact, I mean, I just look at our first quarter, not that we’re telling everybody how great the first quarter is or isn’t, but the first quarter is an indicator for Vuzix and usually, it’s one of our slowest quarters. And we’re not seeing that at all.
Unidentified Analyst: Okay.
Grant Russell: I mean – and Steve, the demand indication we’re getting from customers, particularly in the second half, is looking good. We are making sure we can get the components, extra components on order. I mean, we do source some of the ICs that are used in the mobile electronics industry – I mean, it’s just the demand. So we’re trying to react and plan. And I mean it’s looking positive, and we’re reacting. So we’re making sure we’re – we can handle the build that we’re expecting out of the book. I mean, I hope that’s not too circular in like – by conversation.
Unidentified Analyst: No, no, no. That’s – no, that’s very helpful. Thank you very much.
Paul Travers: Yes. I think just to add a little bit more to that, only that our 2021 repeat business is already kicking up in a comparison to what – if you take any given account that was buying them in small volumes, they are across the board – I shouldn’t say that because not everybody is going into overdrive. But most companies are coming back with repeats and repeats orders.
Operator: Thank you. And ladies and gentlemen, that’s all the time we have left for questions. I’ll turn it back over to Mr. Paul Travers for final remarks.
Paul Travers: Thanks, everybody, very much for joining our conference call 2021. As we said, we’re looking pretty good for Vuzix. We look forward to continuing to share with everybody the good news as the company grows. And have a nice afternoon, everybody. Thank you.
Operator: Thank you. This concludes today’s conference. All parties may disconnect. Have a good day.